Operator: Good morning, and welcome to the Air France-KLM Group Full Year Results 2023 Presentation. Please note this conference is being recorded, and for the duration of the call, you lines will be in a listen-only mode. [Operator Instructions] I'll now turn the call over to Ben Smith, CEO; and Steven Zaat, CFO. Please go ahead sir.
Ben Smith: Okay, thank you, operator. Good morning, everyone, and thank you for joining us this morning for the presentation of the Air France-KLM results for the year 2023. I'm joined by Steven Zaat, the CFO of Air France-KLM; Anne Rigail, the CEO of Air France; and Marjan Rintel, the CEO of KLM. We will be available to take your questions at the end of this presentation. I'll start by sharing the highlights of the year, then I'll turn it over to Steven for a detailed presentation of our results and the outlook for the year ahead, and then I'll conclude the presentation and open the Q&A session. Moving to Slide 3. Before commenting on the Group's annual economic and financial performance, which can be found on Page 3 of the presentation, I would like to make a -- moment to comment on some of the highlights and achievements of our Group during 2023. I think it's fair to say that 2023 was a busy year, and I would like to thank everyone in our Group for their commitment and dedication. In 2023, we continued delivering on our pledge to offer exceptional service at every turn. We doubled down on our efforts to elevate customer experience across the board, from the moment customers enter our airports and interact with our colleagues on the ground through to their time spent in flight with our colleagues in the air. For the third year running, Air France was voted best airline in Western Europe by Skytrax. Air France also continued its upward ascend in the world airline rankings moving from eight to seven place this year. Fleet renewal is in full swing with more latest generation aircraft added to the fleet. We're pleased with the choices we made for both our long and medium-haul aircraft orders with the new aircraft delivering increased performance as anticipated. In 2023, our Group placed a remarkable order of 50 Airbus A350s to be split between Air France and KLM. We welcomed the first A320neo deliveries for Transavia, and we continued the ramp up of our Airbus A220s for Air France, altogether, contributing to the enhancement of our Group's economic and environmental performance. 2023 also saw us pushing further ahead on our decarbonization road map by maintaining our position as the world's leader in SAF usage as well as by enhancing our intermodal connection opportunities. And 2023 also marked the 90th anniversary of Air France. Celebrations will continue this year as the Air France-KLM Group turns 20. Moving on to Slide 4. Let's take a look at 2023's full year performance. Air France-KLM delivered a strong set of results in 2023 despite challenging geopolitical and market conditions. We welcomed 10 million more customers aboard our aircraft compared to the previous year, bringing us very close to the symbolic 100 million customer mark. We recorded double-digit growth in our revenues, reaching €30 billion. This growth was driven by a robust load factor, ongoing capacity restoration and consistently high yields. The strong commercial momentum, combined with rigorous cost management and the ongoing benefits of our transformation plans resulted in an operating profit of €1.7 billion, a 44% increase from 2022. Building on this solid operating performance, we achieved a net profit of €900 million, contributing to a return to positive equity for the Group, thus further strengthening our balance sheet. Additionally, we made significant progress in reducing our debt with our net debt-to-EBITDA ratio decreasing to 1.2x. The two inaugural credit ratings that we received reflect our progress. Finally, the global employee share ownership plan we launched in December had a successful outcome with 22% of our employees subscribing, amounting to over €45 million in employee participation. This speaks to the strong level of engagement of our teams, and we are very grateful for their commitment to our company. Slide 5 and the strategic initiatives that continue to drive revenue growth for our network airlines in 2023 covered on this page. Ancillary revenues at KLM and at Air France continued to climb to nearly €1 billion with an outstanding 53% increase in revenue per passenger since 2019. This revenue is predominantly derived from high-value services such as seat selection, luggage options and paid upgrades. Furthermore, load factors in our premium cabins kept outperforming pre-COVID levels with an increased 2 points on average throughout each quarter of the year, demonstrating sustained demand for our premium offerings. This positive momentum underscores the attractiveness of our product and our ability to cater to both corporate and leisure travelers seeking high-quality experiences. Moving on to Slide 6. Now I'd like to take a closer look at the performance and achievements of Transavia, Cargo and our Engineering & Maintenance businesses. Despite a tense geopolitical context and disruptions that affected our operations in 2023, Transavia's strategic development proceeded in lockstep with our objectives. We are firmly committed to making it a strong low-cost contender in the European market. We introduced the Airbus A320neo aircraft, A321neo aircraft as well, which is being gradually added to the fleet, resulting in substantial cost reductions and gains in operational efficiency. And we are very proud that in 2023, Transavia was ranked #2 in Europe and #6 worldwide by Skytrax in the best low-cost airline category. These rankings testify to the overall quality of service offered by the Company, an important advantage in an extremely competitive European low-cost market. Moving on to Cargo, where our revenues surpassed their 2019 levels. However, the industry continues to face challenges due to the gradual post-COVID normalization of prices. Despite this, we continue to capitalize on our diversified market positioning, particularly strong in specific segments, such as pharmaceutical transportation. We're also maintaining investment in key areas, as evidenced by the newly configured and renovated warehouse based in Chicago O'Hare International Airport, which we opened in June. Finally, our Engineering & Maintenance business recorded another successful year, marked by further revenue growth and significant achievements despite a complex environment marked by severe global supply chain disruptions. Revenues were up in 2023, driven by the introduction of Airbus A220s and Airbus A321, A320neo services, the signing of new contracts and the overall expansion of our customer base. We've also entered strategic discussions with Airbus to create a joint venture dedicated to Airbus A350 equipment maintenance, and we're confident this undertaking will be delivered in 2024. To keep up with demand, we are also strengthening our industrial capabilities and operations through selected investments in our facilities, such as a single roof project at our hub in Paris-Orly, which will optimize productivity and engine MRO turnaround times by bringing all the platform's engine operations into one location. I'll now turn it over to our CFO, Steven Zaat, who will go into more detail about our results for the year. Steven?
Steven Zaat: Yes. Thank you, Ben. Good morning, everybody. Let's directly dive into the figures of 2023, which you can find on Slide 8. So, we had a record year in terms of revenues, so €30 billion, which is a new threshold, let's say, for our Group. If you look at the operating results, we improved by another €500 million compared to 2022. And you see that in the operating margin, we are making step-ups to 5.7%, which is, in a good way, in our trajectory for our, let's say, midterm guidance. Then on our net results, we are very happy to have almost €1 billion in net income, which is also another record for the Company. And this is -- and I'll come back on that later, an important step to strengthen our equity because for the first time since COVID, we have now a positive equity at the end of the year. If you look at the two airlines, you see that we have a margin of around 5.5% to 6% margin both for Air France and for KLM. For Air France, it was a record result, and we were further moving up the results for Air France because they grew further the capacity, and they outperformed in terms of yield compared to the unit cost. If we then go to the businesses, then we start that we had a very strong passenger network activity. We grew our capacity on the passenger side with almost 9%. At the same time, we were able to increase our unit revenue with 12%, which increased our total revenues from our network with more than 20%. And for the network, despite the fact that on the Cargo, we are coming, as Ben already said, to a normalization actually of our yields, you see that despite the Cargo is down 37% compared to 2022, we are still having a yield which is in the Cargo 40% above 2019. So, if you take them all together, despite the weakening of the Cargo, we had a record result in our network business. Then going to Transavia. So, Transavia grew further. We grew further also on unit revenue, but we had some headwinds for Transavia. It started first in the second quarter where we had fleet issues at Transavia Netherlands and at Transavia France. We had the Morocco situation in September. And actually, now we are faced with the geopolitical consequences from the Middle East situation. So that impacted for €21 million our Transavia activity in Q4. I'll come back on it when I discussed the Q4 results, but that has, of course, also an impact on the full year results. So, I think a lot of headwinds for our Transavia business, as I presented already during the Investor Day. I think there's a lot of potential over there. We implemented now our paid hand luggage and also we are going to a dynamic ancillary revenue. So, a lot of potential if the market is there and you see that also in the first quarter, the demand actually in the market is very strong for this low-cost activity. Then on the Maintenance. On Maintenance, we see that we grew our revenues further with 23%. We still are hampered by the supply chain. We have a lot of engines in the shop over the year. We see now that we are starting to release it, although we still are hampered by the supply chain in the components and the engines. So, overall, we didn't grow further our result, but we see that the contracts are there, and we see also that the activity is coming back in the last quarter. And also, in the first quarter, we see a slight improvement also for our Engineering & Maintenance business. Let's go to the deleveraging. So, we ends the year with a net debt of €5 billion. We have still very solid cash at hand of €10.5 billion and a net debt-to-EBITDA of 1.2. If you look at the full year, you see that the operating free cash flow is €440 million positive. If you deduct the payments of the lease, you get to minus €400 million. We paid almost €350 million to the Dutch state and to the Air France and to the [IDR cost], so there is this, let's say COVID that we're starting now to repay, and there was €200 million, which is moving actually from 2023 to 2024, which is related to the IATA settlement of our Cargo activity. So, we moved actually the last week of revenues to what we do for third-party airlines to the next year. And now we come to our equity story. So, when I started as CFO, we had a negative equity of more than €5 billion. We are now actually fully restored after doing a capital increase, after doing the quasi-equity financing. And this is especially important, the net profit generation of almost €2 billion. So, I'm very happy that we are now, let's say, at a positive equity, which is a good strong base for the years to come. I have to admit, when I started this position, we [didn't had]; in 2023 in our trajectory, already a positive equity. So, we are well ahead of our plans over there. Then, taking a deeper dive on the fourth quarter results, which you can find on Page 13. So, you see that we continued to grow our revenues with 4%. We had a very strong passenger revenue, both at passenger business and Transavia, it's around 3% up. We see that the Cargo unit revenue declined, which was in our expectations. So, we had an impact of more than €200 million. And then we had actually three incidentals in the results of the fourth quarter. First, we had the disruptions cost which more than €70 million than what we had in 2022. It's a quite harsh environment to produce. We miss a lot of spare parts. We miss sometimes also some maintenance stuff, and that had a negative impact on our result. Second, the geopolitical situation. So, in total, the impact of €65 million. We had more than €20 million on the Transavia side, but we were also impacted by the Africa situation, especially on Air France, which impacted us for €10 million. And then on top, we see that especially the indirect impact from, let's say, the Middle East situation on our North Atlantic market and also on our South American market has impacted our fourth quarter. And if you then -- what we also had to take into account is the employee share plan. So, actually, this is the discount we gave to our staff of 30% and IFRS obliges, although it's a non-cash impact, to take that into the cost. So, I think we had three incidentals in this quarter. The Cargo unit revenue decline was already, let's say, in our own forecast, and I suppose in everybody's forecast who are in this call, and we -- but we still see that the Cargo yield is still up compared to 2019. If you look at the Cargo yield specifically, you see that we have a Cargo yield, which is more than 30% up compared to 2019. So, quite strong still in terms of yield, but of course, less than what we have seen in 2022. Then, going to our business. So, I think I already explained the strong unit revenue increase at the passenger side, almost 3%. So, we grew our revenues further with 6%, despite the fact that we increased our capacity. Cargo, as already explained, 32% down, mainly coming from the yield. And then Transavia, you see a strong unit revenue, but significantly impacted by the geopolitical situation. And we know that Q4 is always a weak quarter in the low cost, Q4 and Q1. It's quite good, and we will make the results in the second and the third quarter. On the Maintenance side, a growth of almost 30% on the external revenues. We have the contracts in place. We improved compared to last year, but we still, let's say, have to deliver a lot of engines which are still in the shop, especially related to the GE90. So, I think with these incidentals and with the Cargo unit revenue explain more or less what has happened in Q4, 2023. If we then look at both airlines, then you see that we have a result of, let's say, slightly negative operating margins in the fourth quarter. Air France was especially impacted by the geopolitical situation, so that had an impact of €50 million on the results of Air France. And they had to take a, let's say, the loyalty program resulted in a profit for Air France, which had an impact of €60 million in terms of unit revenues. On KLM, we see that we operated in a very difficult climate. We had difficulties, especially coming from the maintenance supply chain. Of course, there's also the geopolitical constraints, and then there was also the impact of the bad weather. So, year-over-year, you see that KLM is having the same kind of results. But we know that we had still, let's say, block seats in the fourth quarter last year. So, both airlines impacted; Air France more impacted by geopolitical situation, KLM more impacted by the disruptions. Then we go to the world map. So, what you see is we grow everywhere, except in the Caribbean, but that's -- let's say, that is our choice as we see a lot of opportunities at the rest of our network. A strong increase in yield everywhere you see the yield still increasing. If we take a look at the long-haul, we have now a 4% increase in yield compared to already strong Q4 2022. North America and South America still increasing further the yields, and especially if you look at the yields at South America, it is amazing. And then Transavia, 3.8%, almost 4% up in yield. So, strong demand. It is -- actually the problem is not selling the tickets. We can sell every seat we want. It's especially the difficulty to produce the tickets or the seats. Then if we go to Asia and the Middle East, we are up 34%. We see strong results in Bangkok and in Singapore. We are still 50% down in China and still on Japan, we are also 39% down. So still a lot of potential, I would say, in Asia, although we know that we will not come to the levels as, let's say, before COVID for example, in China. But there's still potential further in Asia and in the Middle East. Then, on the unit cost, as already explained. So, we had a unit cost increase of 3.5% in the fourth quarter. We had this €70 million additional disruptions cost compared to 2022, and we had the employee share plan impact of €30 million. So, if you take out this €100 million, you see that we are at around 2% of structural cost increase, which is mainly coming from the salaries. So, at the end of the day, we end with a 3.5% unit cost increase, of which, let's say, 0.4% is coming actually from the Q4 incidentals. Then let's take a look at the year 2024. So -- and again, I will repeat it, selling is not the problem. If you look at the first quarter, long-haul, we have already sold 85% of our seats. On the short and medium haul, it's at 76%. So even better than it was in 2022. And on Transavia, despite the fact that we increased the capacity with 10%, you see we sold already 80% of our seats. And it all goes with a positive yield also in January and February. So, I think the -- again, I come back on it, selling the tickets, the market demand is there, which is promising also for the quarters to come. Then on the fuel bill. So, we are ramping up to our new hedge policy. So, we have all -- we will hedge at the end of this quarter, 70% for the second quarter and 70% of the third quarter. We have now a total hedge of 59%. The fuel bill is coming down compared to 2023. So, you see that we pay $50 per metric ton less on the jet fuel and the fuel price is still in backwardation, despite the fact that fuel went up in the last weeks to levels of around $82 to $83 per barrel for the oil price. So, for the outlook, for 2024, we will grow further with 5% versus 2023. We take a little bit of step back, especially in the coming months to make sure that our production is running smoothly. On the unit cost we will be between 1% to 2% for the full year. So that's slightly up compared to, let's say, the flattish unit cost, which we presented in the Investor Day and especially related to Q1. In Q1, we have two impacts. We see still disruptions in January and February, which has an impact on our unit cost, and we had the one-off payment at KLM of 2% of their salaries in January. So, if you take these incidentals into account, you come to 4% up in the first quarter of 2024. And then at the CapEx, so we are between €3 billion and €3.2 billion in terms of CapEx, let's say, in line and even slightly below what we showed during the Investor Day. I hand over now to Ben to do the final part of the presentation.
Ben Smith: Okay. Thank you, Steven. So, moving on now to Slide 23. This summer, we will continue leveraging our optimized and diversified network. We've now got 300 destinations across the Air France-KLM Group airlines to drive and capture as many market opportunities as we can. For summer 2024, our capacity will be closing in on the capacity levels of 2019 and the distribution of our network continues to benefit from its diversification. In particular, as we continue to optimize our network in response to demand and geopolitical developments, we will preserve our strong presence in North America and improve our overall short and medium-haul footprint through the strategic growth and development of Transavia. Slide 24 circles back to the ambitions for Transavia I alluded to at the beginning of this presentation. The Group is further delivering on its plan to boost the airline's revenues and increase its operational performance. Amongst the various concrete actions seen here on the slide, in particular, I'd like to mention the paid hand luggage model, we are rolling out in anticipation of the upcoming summer season and thus helping yield maximum results for the year to come. Now, moving on to Slide 25, addressing the challenges regarding Engineering & Cargo is a big priority in order to secure and stabilize our operations as well as support our revenue streams. Regarding E&M, with respect to supply chain and OEM-related issues and as we strive to find the best solutions for our operational teams and our stakeholders, we continue to introduce new performance mitigation procedures to shore up those already in place. In addition, we are hiring and training new staff, and we expect hundreds of new colleagues to join our team soon. Finally, we are accelerating the modernization of our product portfolio with newer LEAP engines and the new A320neos, among others, with a view towards supporting the aircraft joining our fleet directly in-house. Regarding Cargo, we are pushing forward to meet our goals with a strong commitment to further enhance our global competitive positioning. With our Airbus A350 full freighter orders for both Air France and KLM, we are on track with our Cargo strategy. Moreover, our customers remain at the center of our operations. We are improving and modernizing our customer-related services and digital initiatives, including, for example, the go-live of iCargo, our new state-of-the-art customer relationship system. Going now to Slide 26. As we showcased during our Investment Day in December 2023, our Flying Blue loyalty program is a strategic asset for our Group. And moving forward, we intend to further reinforce it with strategic levers by offering an enhanced customer value proposition by increasing both the active membership base and member engagement; and two, increasing the direct revenue stream through extended partnerships beyond travel and delivering innovative digital solutions to earn and burn miles; and three, finally, enhancing the Flying Blue sustainability stream through dedicated communications and stimulation of more sustainable choices. Slide 27, I'd like to focus on sustainability. We are working hard to secure our sustainability road map as we progress towards 2030. And today, I'll report on its two main levers, fleet renewal and sustainable aviation fuel or as you know, SAF. Our ambitious fleet renewal program is going as planned. Between now and 2030, we will be increasing latest generation aircraft in our fleet from around 21% to roughly 80% with a tangible improvement of CO2 emissions and reduction in noise. Our strategic choice of aircraft enables us to proceed with our defined engagements in terms of sustainability. And while in 2023, we were already the largest SAF user worldwide for the second time in a row, we've also now secured 1/3 of our 2030 SAF commitments. We have clear milestones ahead of us, and we will continue to regularly update you on our sustainability trajectory. Slide 28. In conclusion, with this last slide, I would like to reiterate the Group's strong operational and financial performance in 2023, spearheaded by the following major achievements. Again, we recorded the highest ever revenues in Air France-KLM's history, growing by double digits, exceeding €30 billion and up 14% compared to last year. We also solidly increased our operating margin to 5.7%, maintaining our positive momentum since the end of the pandemic and remaining on track with our objectives for the years to come. We further strengthened our balance sheet, allowing us to return to positive equity while regaining full strategic financial autonomy. Finally, we met our financial and non-financial commitments and our fleet renewal program is progressing according to plan with selected new generation aircrafts yielding excellent performance. Looking ahead to 2024, Air France-KLM is well-positioned to further accelerate matters both in terms of revenue generation and margin expansion, leveraging the full range and potential of its numerous assets. We will increase our capacity on the most strategic routes, including North America, while adapting to geopolitical constraints, optimize our network and capture the best market opportunities. We are firmly committed to the continued delivery of our transformation initiatives across the Group and all our airlines and businesses. And as I just mentioned, we are thoroughly invested in our sustainability road map through the strengthening of our leadership position in SAF sourcing and usage and diligently executing the transformation of our fleet. Thank you, and we are now available to take your questions.
Operator: [Operator Instructions] We will take our first questions from Jarrod Castle from UBS.
Jarrod Castle: Great. I guess just in relation to kind of the current performance and thinking about the medium-term targets you gave in December that there doesn't seem to be any comments really around that. So, I mean, how do you think you're placed given the '23 performance in the start of '24 is the first question And then, just want to get a bit of an idea. I mean, obviously, you've got Paris Olympics, so you might have a little bit more visibility around July August bookings. So just be interested how that is looking, especially from international travel North Atlantic and from Asia in particular? And then just lastly, there was a ruling early Feb around state aid from the Netherlands at the time of COVID. I just want to get your views on what does this mean, you know these EU rulings around state aid for Air France, given that there are still relatively large government shareholding in the Group?
Ben Smith: First one. We will decide.
Steven Zaat: Hi, Jarrod. We confirm our medium target. We didn't specifically -- we already had a full-year results we had with Q4 result, but we confirm our medium targets, to be honest, the figure which we actually released for the full year now was exactly what we already had in our model. So, despite the fact that we saw some impacts of these incidentals, we are not far off, and we see that has the potential on Transavia. We see that there is €700 million to come with funding our journey for KLM. We see €700 million to come. We started now the ancillary revenues. If our operations is producing, we have a lot of, let's say, potential in terms of capacity increase also available for the years to come.
Ben Smith: Hi, Jarrod. Okay, so, regarding the 2024 Olympics in Paris, during summer, the airline always operates its entire fleet. So, in terms of adding new capacity that we're not in a position to do that. So, we'll be operating the entire fleet as normal this summer. Perhaps a slight uptick in yields during -- I mean, to go all the way back to the World Rugby event here and the World Cup of football, similar trend. In terms of bookings, a slight improvement over what we would normally see. So, no worrying trends there. So, we're expecting, if all goes well, a slight increase in performance for Air France during the Olympics. Of course, there's a lot of directional traffic to manage. Our revenue management teams are well aware of that. We've known for a while about this summer event. But for us, it's ensuring that the operation and logistics around the event goes well. And as you can imagine, there's an enormous amount of planning, both from us directly and the airport authority as well as the city to have the games run well and run smoothly and showcase France. In terms of state aid and this ruling that has come across. As of today, it's a bit early for us to comment on what impact that could have on us. As you know, we're in total compliance with the -- what was the term we used, the remedies that were imposed on us, such as the -- we had to give up slots at Orly Airport, there was some restrictions around dividends, executive management salaries and remuneration. We were in complete compliance with all of those, so there should be no issue around that. But all state aid has been repaid both to the Dutch state and to the French state. So, what impact this ruling could have on us? We, of course, have our lawyers and our two main shareholders, two states are looking at closely. And when we have perhaps a different view or a more clear view on how that could impact us, obviously we'll share that.
Operator: We will take our next questions from Stephen Furlong from Davy Research.
Stephen Furlong: Yes, two things. Just back to the medium-term targets. I'm taking from, you know nothing has changed, but I was just wondering in terms of the €2 billion bucket over the next five years. Is there just anything that since the CMD that gets you particularly excited, even near term, whether that's maybe Transavia, et cetera. Second thing, some industry commentators like the aircraft leasing companies, et cetera, keep talking about issues with the supply chain and it's well documented and that it's just going to take -- there's no end in sight and it's going to take longer. Just wondering, Ben, what's your view on that? Because while it's obviously challenging, it's probably helping the unit revenue environment. And I know for the leasing companies, it helps the aircraft sales or leasing rates.
Ben Smith: Okay. Hi, Stephen. Thanks for your questions. So, we're quite pleased with the next-generation aircraft choice that we made. So, with the Airbus A220, the A350s and the 320neos, they align very well with what we're looking for and the reliability of the delivery stream fits into our needs. Of course, we chose the LEAP. We did not go with the Pratt engine for the 320s. So, there's no issues there. And of course, there's no choice on the 350s. On the A220s, yes, we've got some issues with the Pratt engines like all the other operators. But we do have many unencumbered A320s, 319s, 321s in the fleet, and we're balancing out that shortage of A220, ability to fly those airplanes with extending the 320. So, I think we're in good shape there to manage the challenges we have with the Pratt engines on the 220s. So, yes, you are correct, it does put pressure on our competitors. Some of our competitors that are operating the Pratt engines in Europe and so that hopefully will be positive. We don't have any of that built into our plans. So, it could be a positive surprise if that does happen. The supply chain challenges we have are -- yes, of course, for the entire industry are challenging. But for us -- when we look at the impact it has on our customer product offering on-board or airplanes, the pressure it puts on our cabin crew. It's a real challenge. Of course, it's -- we're not the only ones, but it's not something that you can tell a customer or you can have a cabin crew member be put in that position. I mean, it's not an answer you can give. This happens to everybody, not just Air France or not just KLM. So, we are having -- that is proving to be quite frustrating, and we're hoping that we can improve on that front. We do have aircraft that were supposed to exit the fleet or exit the two fleets at the two legacy carriers that we have. So, we got a little bit of flexibility with parts, but that is -- that's concerning. Regarding the actual midterm plan that we presented at the capital markets, we're quite pleased that things are rolling out. Yes, we've got some bumps with the political, the geopolitical environments that we're going through in Africa and the Middle East, and I'm sure we'll have others going forward. But the overall transformation of repositioning the Group is going exactly as planned. The first step of transforming Orly Airport into a more European-focused airport, with a vast reduction in demand on the domestic routes is going well. We've managed to negotiate the transfer of activity with all the main French Air France unions, which is going as planned and the increase in capacity at CDG airport is also going well. So, in terms of the medium term, as Steven said, we're quite confident that we can stick to those commitments.
Operator: Thank you. We will take our next questions from Ruxandra Haradau-Doser from HSBC.
Ruxandra Haradau-Doser: Two questions, please. First, you indicated stable load factors on long haul in Q1, could you please give some indications on regional performance according to the French regulator. LATAM was a little weak in November last year. So, are you seeing now some discrepancies between the different long-haul regions? And second, Aeroports de Paris expects a passenger traffic growth in Paris of 1% to 1.5% between 2024 and 2050. This is below medium to long-term growth expectations generally in the sector and of the hubs of your main competitors. So, do you see reasons like infrastructure constraints for Paris to structurally underperform going forward in terms of traffic? And do you expect Air France to grow faster than the market and gain market shares at Paris Airport in the long term?
Ben Smith: Hi, Ruxandra. In terms of demand and return to yield levels of 2019, South America is actually a better performer than what we saw in 2019. So, we're quite pleased with the performance. We're rebalancing some of the capacity gauge of aircraft and what we have going down there. But in terms of the lucrative premium market that we carry, traffic that we carry on South America, we have no concerns there. We see it actually very strong. North America, very strong. Africa is stable. Asia is stable for the capacity that we have. But of course, we're not back to 2019 levels for all the reasons that you know. And then for the intra-European, with the transfer of money losing domestic traffic with Transavia into European services, that's transitioning. So, there's a transition period, but the trends are moving to exactly what we wanted, which is more positive territory than where we were before. Because of the ban of overflying Russia, quite a few airlines are impacted by that for services to India. So, we see our traffic to India increasing. We do know that that could change at any moment. So, we're enjoying that while it's there, but it is extra revenue or extra revenue pressure and choices of traffic that we didn't have before. So, to answer your first question, yes, Latin America is not of concern to us. And in terms of the increased forecast of activity in Paris or in France going forward, if you look in the past, CDG airport has kept up with the average in Europe. And I guess some of these forecasters perhaps might be a little bit more pessimistic than others. But it's not anything that we're concerned about. And as you know, the traffic that we're focused on is premium, which is -- you look at the overall increase projections, it's very, very small, but for us, it's very big because it's high yielding.
Operator: We will take our next questions from Alex Irving from Bernstein.
Alex Irving: Three for me, please. First of all, what are the main cost reduction initiatives you're planning for 2024, and how large an impact should those have on an ongoing basis? Second, just noticing recent reports that Transavia is looking at opening bases outside France and the Netherlands. What ambitions do you have here? And do you worry about other legacy controlled point-to-point airlines responding by attacking your home markets? And then finally, you've previously discussed an operating margin target of 7% to 8% for 2024 to 2026. Appreciate you're not guiding on that this morning, but is there any reason why the Group shouldn't deliver in that range in 2024?
Steven Zaat: Hi Alex. Yes, so, on the cost reduction. So, we continue with our transformation. We have three transformation teams in place. So, we are focusing especially on reducing our labor and our, let's say, external spend cost. So, we are very focused on that. Of course, when we increase further our capacity that will drive the unit cost down. So, we have strong programs in Air France already running for at least three years. We have at the Group, a program running, and we further increased the program at KLM. So, we have two sites. One is reducing just the, let's say, the cost as we has and control it very strictly and at the same time increasing our capacity. So that is actually the levers we currently see. As you have seen, if you compare our unit cost development compared to the competition in 2019, we delivered as we promised. You take the second one, then?
Ben Smith: Sure. Regarding opening up additional bases for our Transavia brand. So, today, the bulk of the capacity is operated from Schiphol or from Orly airports. With the exit of Air France operations or the bulk of the Air France operations by 2026, 2027, we are filling that in with Transavia. So, that is our priority in Transavia France in the future is to put all new growth into Orly, and that will take up all the new aircraft deliveries that we have at Transavia in the medium-term. Once that, as you know, Orly also is heavily slot constrained, we need between 75 and 80 Transavia airplanes based at Orly before we've used up all of our -- 50% of the slots. As you know, our fleet is not at that level as of yet. Then we have small bases existing already today with Transavia in some secondary cities in France. So, you've got Nantes, you have Montpelier, you have Lyon. There are other cities in France where we could look to introduce Transavia. So we have, of course, Nice, Marseille, Toulouse, Bordeaux, those types of cities, and those are opportunities for us. We already have good -- we have a good base of Flying Blue members who are based there. But this opening up new additional bases in France, that's a medium-term to long-term opportunity. That's not something we have planned in the short term. Look, it's going to take us quite a few years to optimize our Orly operation. For Transavia Netherlands, I think here as in Orly airport, we are slot restricted. So,, we do balance out the slot portfolio that the Group -- that KLM Group has between KLM and Transavia to ensure maximum profitability. We do have a smaller operation from the secondary airports in the Netherlands, and we have started routing aircraft into Brussels on a W pattern to test out our brand in Brussels. So, the threat of other low-cost carriers entering Orly and Schiphol, of course, with the airports being saturated, the risk is close to 0. In terms of threats to the margin commitment that we've made in the medium-term, of course, if there are delays with the aircraft deliveries, that could pose a risk because these airplanes are configured in an optimal way to capture the traffic flows. We need to improve RASK. So that's a risk. I'm pleased with the aircraft choices we've made that I think we have lower risk than some of our competitors. A big part of our plan is balancing out or better optimizing local versus flows versus premium versus a premium economy or economy, which is driving our RASK improvements. So, if there is a change in our forecast, it's to demand levels on any of those, that is a risk. But I think we've got a lot of margin with our diversified network to be able to move airplanes around if one region does lose or change the forecast that we were looking for. And then, of course, as any other airliner, there's a shock in the industry, that, of course, is a risk. So, those are the things that we look at high level. And then, as you know, running a business in our industry is always an adventure. And many of us here have lots of experience with that, and that is built into our medium-term engagement and promise we've made to the market.
Alex Irving: And on the 2024 margin specifically, any comments to make?
Steven Zaat: No. Yes, you know we don't guide for the profit in the year. But I think Ben already explained quite well what is happening. I think the demand is there. They're able to produce it, but the demand is very strong. So -- and we see also the potential, for instance, on Transavia, we will see that coming back in 2024. So, there's a lot of potential still in our company where we can grow our profitability.
Operator: Our next question comes from James Hollins from BNP Paribas.
James Brazier: Just three for me or just -- anyway, the first one is the Dutch and French social charges are not state support during COVID, those social charges. I think just a clarification, I think you previously noted you had €2.5 billion to repay over five years. I think you said you repaid €350 million in full year '24. Maybe just update on if that's right and where you would be annually from here? That was one question. Second one, if you'll forgive me, I'm not super strong on geopolitics in Africa. I think I can keep tabs on what's going on in Israel. Maybe just sort of update on how African geopolitics are playing out in Q1 '24, and if it's a situation where you're actually moving capacity out of that region or those areas. And then thirdly, I was late to join, I apologize, did you have any update on business travel, even if just qualitatively?
Ben Smith: Hi James. So the three questions, but the third question wasn't quite clear to us. Maybe you could repeat that one, please.
James Brazier: Yes. And just a very open question on business travel. I don't think I heard anything on the call about even just qualitative update on how that's tracking into 2024.
Ben Smith: Sure. I mean, Steven and I are just deciding who should answer that one. So, on the third question, business travel, no real change to what we were seeing, slight increases in certain markets, sort of flattened out in others. And of course, the same we're hearing from our big customers. Some of them are not as interested in flying. They've got used to staying home. But at the same time, lot of corporates are very concerned, they hold on to their market share and know that they have to get in front of their customers directly. So, we do see some customers that had really slowed down their travel during COVID obviously, but after COVID, not wrapping up quickly, but are coming back quickly. So, I think business travel trends, nothing that's worrying us. Of course, we -- in some markets, would have liked it to get back to 2019 levels. But as we said before, what is a big change since 2019, especially in Paris, is this premium leisure segment that we did not see to these levels in 2019, and it's very, very strong. So, we have not decreased the size of our premium cabins. We've actually increased them on some markets. So, yes, business travel in many markets is not at 2019, but we have this unique leisure, high-yielding market that I think is great. And of course, prior to the crisis, Paris is not London, 50% of the premium traffic was already made up of leisure customers. So, it's a -- the fact that we may not be rebounding to 100% corporate does not hit us as much as airlines that are in business -- in very business focused city.
Steven Zaat: Then, on the social charges and the wage tax. So, we are now at a level of €2.3 billion. We paid in January €610 million to the CRPN, so you can actually deduct it. So, we are more or less at the level now at the moment at €1.7 billion, and we repay around €500 million on the Air staff and the social charges of [indiscernible] and the wage tax in the Netherlands and the [Air France]. So that is the scheme as we already announced, and we will -- we paid already because we had till January, we had actually -- that we didn't have to -- we didn't have to pay till July, the pilot pension charges. So, we started already in August to pay the regular ones, but let's say, all the COVID debts relates to the pilot pension is paid in January.
Ben Smith: And regarding Africa, so, I mean, quickly on Israel. So, Air France has returned and restarted flights to Tel Aviv, KLM will do so beginning of April. In that region, Transavia also had an extensive leisure operation into Egypt and into Jordan. So, of course, that has dried up and we've moved the capacity elsewhere. So, there was a transition period there. And then, there was an earthquake in Marrakesh, which is also a big destination for Transavia. So that capacity had to be re-adjusted. Now it's rebounding now, the demand. So, in and around the Mediterranean, that's what we've been dealing with. In Western Africa, so Niger, Mali and Burkina Faso, in particular, the cities are Niamey, Bamako and Ouagadougou. These three cities, we've suspended service. They were sizable markets for us. And of course, we now do have to avoid overflying some of this area, which, of course, adds to our fuel bill. But here again, we've got -- Air France is the largest carrier to Western Africa. We've got many other opportunities with some of the airplanes in North America. So, we'll manage through that. It's not -- I would say, it's not material at this point, what's going on in Western Africa.
Operator: We will take our next question from Andrew Lobbenberg from Barclays.
Andrew Lobbenberg: Can I ask, please, about the situation with the ever moving capacity rules for Schiphol from the Dutch government? Obviously, the capacity was put back in and you've added short-haul capacity for this year. But what's your working assumption for the future now? Are you expecting capacity to be maintained or are you seeing a live risk that the reduction will come back and how do you plan KLM through that? Can I ask about the Cargo revenues? Obviously, Steven highlighted that you expected them to continue to fall, and yet the disruption to shipping around the Red Sea has seen the spot pricing for cargo revenues seemingly increase, and yet we're not seeing it in your numbers. Is there any uptick to come in Q1 for Cargo or are these spot rates for Cargo not relevant because everything is on contract? And then my third question would be to just look for an update on your thinking around the M&A situations with the SAF deal and indeed the delayed Portugal privatization process?
Ben Smith: Hi, Andrew. So, I'll have Marjan CEO of KLM who's just in front of me take the first question and then we'll go from there.
Marjan Rintel: Hi, So, as we all know, the government needed to postpone the experimental regulation and therefore, the reduction of movements in the temporary phase. They also announced last year that they needed to postpone the introduction of the outcome of the balanced approach, not to this winter of 25, but they hope to next summer '25. But that means that the new fleet of KLM needs to be taken into account. So, the EU is, at this moment, asking questions to the Minister of Infrastructure regarding the balanced approach and if everything is taken into account. So, we don't have a number in hand. But we did give input with our plan; cleaner, more silent and more efficient. And if you look at that and solve the problem at the source, with the new fleet and all the operational measures, you could still argue that the noise reduction could be achieved in so many different ways.
Ben Smith: And maybe just add a couple of points to what Marjan just shared. We do have quite a bit of flexibility in maintaining our capacity levels at Schiphol, depending on what the final outcome is of this desire of the Dutch state to reduce movements. So, at KLM Cityhopper, which is our regional operation at Amsterdam, we are up-gauging to Embraer 195-E2s. So that's a significant increase in seats over the Embraer-190s. On the regional side, we do have a lot of flexibility for the medium-haul fleet of KLM and our Transavia operation to up-gauge from 737, 700s, 800s to the A321neo. So either they'll be either A320s or A321neos and we've got a sizable fleet on order. And then of course, on the wide-body fleet, we've got a lot of flexibility on replacing the A330s and our 777-200 aircraft with either A350-900s or A350-1000s. So, in terms of fleet capacity, I think we're quite covered depending on the final outcome. So, of course, we are pushing for the 500,000 movements to not change. If it does go down, I think we'll put in some good buffers to ensure we can still maintain the capacity levels. And I'll let Steven take the Cargo question. You hear the question.
Steven Zaat: Yes. Andrew, we had an intense discussion also with our Cargo teams. Actually, what you see is 80% of our capacity of the Cargo is in the belly. So, we cannot drive that, let's say, specifically to Asia. And we are still very much down in terms of capacity to Asia. So, we don't benefit that much actually from the situation on the Red Sea. Also, because we cannot put more freighters to China, because there's also a regulation on the number of flights towards it. So, we don't fully benefit from that situation. For sure, there is an uptick in the yield in our bellies from China. But as you know, we are not yet at the capacities as we were before. And there's no impact, of course, to North America and to Brazil and even not to Africa.
Ben Smith: And on the -- on your M&A question, we're very, very happy with how things worked out with SAS, with our 19% stake, with the exit of SAS from Star Alliance and our exclusive ability to go up to a controlling stake. So, we're already in deep talks. We've moved forward on a lot of commercial, I'd say partnerships with them. They've already moved one flight to Atlanta. We are putting in place -- we're having them line up with our services wherever we can under the non-immunized rules. But it's a great first step for 19% investment. So that we're pleased with. In terms of TAP, as you know, geographically, we're quite interested in that operation. We'll see how that goes. But as of today, as you know, it's a bit unknown how the new government is going to move on that file. So, still interested but balanced expectations based on the current situation.
Andrew Lobbenberg: Ben, can I just ask, are there competition policy approvals needed for SAS to proceed or will that -- are you expecting that to go through it? Because obviously the process for [indiscernible] IAG Europa are going nowhere fast, right?
Ben Smith: No, we don't. what we're focused on is, can SAS eventually join our joint venture across the Atlantic? So, with Virgin and with Delta, we will be able to integrate SAS into that joint venture. And of course that's a lengthy process. So that's the main focus. What will we need to do there. And of course, there's no limit to access at Copenhagen or at Stockholm. The airports are totally open. So, if there are perhaps any remedies that will be asked for, I predict they will be asked more in Amsterdam, but the unique routes that we're on are very limited.
Operator: Our next question comes from Harry Gowers from JP Morgan.
Harry Gowers: Yes, I've got three questions, if I can. The first one, I might have missed it, but maybe if you could just touch on network yields for January and February, year-over-year, what you've seen so far or any expectations for Q1? Second one, there was obviously the new KLM agreement towards the end of last year. So maybe you could give us a reminder on when all of your big union agreements run until now. So, is there any risk that any of the labor agreements come to an end this year, for example? And then the last one, I think my math is correct in saying there's quite a large working capital outflow in Q4 of about €800 million or so. So just anything to call out? Is there any one-offs in there or just normal seasonality?
Steven Zaat: I will take the first and the third question, and I will pass for the second question on CLA to Marjan. If you look at the yields, the yields are quite strong in January and in February. We are, let's say, for March, it's -- I don't have, let's say, the full picture yet, but all in all, we see that the yields are still holding also on North Atlantic, et cetera. So, on the yield side, at least in January, we were up, I would say, close to 3%, and also in February, it's up year-over-year. So, on the yield side, still things are very strong. Of course, there's always an impact of the mix. On the working capital, yes, I explained to you, we already start repaying the state aid. Of course, there is seasonality in it. And there was a move from 2023 to 2024 of around €300 million, which is related actually to the Cargo bill. So, there is a kind of incidental picture, I would say, in the fourth quarter. But of course, the seasonality was already expected. We always sell less tickets in this quarter.
Marjan Rintel: Regarding the CLA, so, we closed the CLAs around March '23, and we will have to renegotiate the CLAs in March '25. So, no news this year.
Operator: We will take our next questions from Neil Glynn from AIR Control Tower.
Neil Glynn: Two for me, please. The first one on Flying Blue. At your recent investor day you mentioned in 2022, its result was about 15% of group EBIT. And I wondered, could you confirm what that looked like for 2023 on an expanded Group EBIT? Then the second question, I noticed your flight deck crew through 2023 was on average 1% greater than your 2019 flight deck crew where obviously, your capacity level was considerably below 2019. Is that a function of needing a higher complement to manage disruption or is there something else that drives the higher flight deck crew requirement? And do you have an expectation as to when that will normalize over the course of the next year or 2?
Ben Smith: Hi Neil. On the higher flight deck crew, I think the one big difference we have is with the fact we can't overflight Russia, a lot of the flights that required three pilots now require four. The length of the flight goes over the regulatory limit of three pilots. So, we have that, which is different. Speaking of the gauge, Anne Rigail is here too, but this what comes to the top of my mind. But Anne, is there anything else you can think of?
Anne Rigail : I think the mixed fleet, the fact that we have -- the capacity is in ASK and the global gross of our aircraft is a bit decreasing. So, I think it's a mix effect impact.
Ben Smith: Yes, so. No, but she is right. I should have said that -- is the with some of the -- with the gauge coming down and the ASKs staying where they are, we've got more pilots flying the same number of ASKs because we've got -- with the A350-900, and with the larger premium cabins, you've got -- the premium cabins obviously are based on seat not based on real estate. So that's probably has an impact as well. On the Flying Blue question, Neil, why don't -- Steven you want to take that one?
Steven Zaat: Yes. I think what we see at Flying Blue, we see a lot of opportunities over there. And even if you look at our first indications, where we are looking at for 2024, we expect that we can improve the margins over there. It is very successful, and we are working on all kinds of partnerships at the moment. So it works out very well.
Neil Glynn: And just to follow up on that. But for 2023, would Flying Blue operating result have grown in line with the Group or represented a smaller proportion given the Group's growth?
Steven Zaat: That is a very good question. I would say that we grow more with Flying Blue relative to their revenues, because -- so, I expect that there's more growth on the Flying Blue part.
Operator: [Operator Instructions] We will take our next questions from Sumit Mehrotra from Societe Generale.
Sumit Mehrotra: I mean, don't get me wrong, but on unit costs, I mean, it's an indeed decent performance given the backdrop and versus peers. But really, what can you say to calm the anxieties that now we have seen the cost firm turning to the adverse. I mean I mean what gives you the confidence in '24 that the ex-fuel unit cost would remain in the 1% to 2% corridor, especially given your prudent 5% capacity growth target. We see a step-up in maintenance, leasing costs in addition to staff cost, of course. I really struggle to see how much there is a fixed component and a benefit from leverage here? So that's my first question. Any comments to allay or anxieties here? Secondly, just in terms of balance sheet, how do you think, -- what remedies, Ben, do you think you have in mind for the mid-term to address the hybrids in the mix, with a still a relatively expensive option?
Steven Zaat: On the unit cost. So, let's say, when we looked at it carefully with the teams, how to guide the markets, we already take into account, let's say, the lower range in terms of the capacity development and we already take into account the, let's say, the incidental cost of the disruptions, which we had in the first two months. We are quite comfortable because we are trying to stabilize now our production, and that will reduce, for sure, also a part of the customer compensations compared to what we had in the fourth quarter and what we expect in the first quarter. So then, of course, there is growth. So we have -- for sure, we have a labor productivity impact because you grow your fleet. So that is actually already in there. So, we are quite comfortable with the current number we have. For instance, what is also coming up is the fuel efficiency. We will put in place more efficient aircrafts, so that will also drive up our fuel efficiency, which has, let's say, a significant impact on our unit cost. So, all in all, we expect when we stabilize our production to have lower customer compensation and we expect also from labor productivity and fuel efficiency to support this unit cost guidance. Sorry, can you repeat the second question Sumit? There was a [indiscernible], what was the question?
Sumit Mehrotra: Yes, the balance sheet, what do you think -- what remedies do you think you have in mind for the mid-term to address the hybrids in the mix? Still an expensive option going to be, right?
Steven Zaat: Yes, yes. So what the plan is we will grow further our net result, and as we have further net result, we will pay back these hybrids in the coming years. That is actually what is in our plan. So, it is not that we want to continue those hybrids for the longer term, although knowing that for -- especially if you look at the coupon for the first hybrid, it's quite, let's say, pretty low for a hybrid. But our intention is to repay those hybrids when our equity is there coming from our net results. So it's just a bridge to get to positive equity.
Operator: Thank you. It appears there are no further questions. Gentlemen, I give the floor back to you for any additional or closing remarks. Please go ahead.
Ben Smith: Okay. Thank you, everyone, for participating today, and thank you, operator. We'll see you at the next quarter.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you all for your participations. You may now disconnect.